Operator: Ladies and gentlemen, welcome to the Merck Investor and Analyst Conference Call on the Third Quarter 2023. [Operator Instructions]. I am now handing over to Constantin Fest, Head of Investor Relations. He will lead you through this conference. Please go ahead, sir.
Constantin Fest: Thank you, Sharon. Dear ladies and gentlemen, a very warm welcome to this Merck Q3 2023 Results Call. My name is Constantin Fest, I'm the Head of Investor Relations here at Merck. And I'm delighted to have here today with me Belen Garijo, Group CEO, as well as Helene von Roeder, Group CFO. Also joining me for the Q&A part of this call are Matthias Heinzel, CEO, Life Science; Peter Guenter, CEO, Healthcare; as well as Kai Beckmann, CEO, Electronics. In the first few minutes of this call, we will guide you through the key slides of this presentation, which will then be followed by Q&A. With this, I'd like to directly hand over to Belen to start the presentation. Over to you, Belen.
Belen Garijo: Thank you, Constantin, and welcome, everybody, to our Q3 earnings call. I'm going to start on Slide #5. Q3 has again shown the benefits of our multi-industry business model, with the temporary challenges having continued, of course, to affect some of our business sectors, especially Life Science, during this transitional year.  Organically, group sales were down 4%, and EBITDA pre declined by 13%, mainly reflecting the temporary challenges affecting Life Science. The strong performance of Healthcare partially compensated for Life Science and for Electronics. Looking at Q3, the currency has become more of a headwind versus previous quarter, and this was as expected. And this paired with a very minor portfolio effect lead to reported sales decreasing by 11% and totaling EUR 5.2 billion.  FX had a similar dilutive effect on EBITDA as on sales. Accordingly, reported EBITDA pre of EUR 1.4 billion was down by 20%. EPS pre of 2.07 was down 23% year-on-year.  Healthcare has been, once again, the best performer, delivering 7% organic sales growth, and this is driven by our Wave 1 product launches, in particular, Bavencio and also related to the growth of the Fertility franchise. Our Oncology franchise performed strongly, also supported by Erbitux in Q3.  Life Science registered an 8% decline in the core business, mainly in relation to destocking in Process Solutions, for which we saw the trough in Q3, as we communicated before. This was a need of softer market environment in China and a major SAP migration project, which turned out to be complex, affecting mainly SLS.  Against the backdrop of a continuing decline in the COVID-19 business, total sales in Life Science were down 13% organically in Q3. This decline also had a negative effect on the EBITDA pre margin in Life Science and consequently, that of the group.  In Electronics, Display Solutions increased by 12% organically in relation to a recovery in liquid crystals materials volumes against easy comparables in 2022, partially offsetting a decline in Semiconductor Solutions, which decreased by 9% organically, continuously outperforming the growth of the semiconductors market. Overall, organic sales were down 4% in Electronics in the quarter.  While the temporary challenges for Life Science and Electronics persisted in Q3, Healthcare performed very strongly. Therefore, our multi-industry business model continues to demonstrate resilience through this transitional year 2023. I'm, therefore, pleased to say that we are living at our absolute sales and earnings target corridors for 2023 unchanged using the full flexibility of our guidance.  We have added more color in order to reflect the developments in the business sectors and to provide more transparency to all of you as we are heading towards the end of the year. We continue to expect net sales in a range of 20.5 billion to EUR 21.9 billion, trending slightly below the midpoint. We are also leaving our guidance ranges for EBITDA pre of EUR 5.8 billion to EUR 6.4 billion and for EPS pre EUR 8.25 to EUR 9.35 unchanged.  On our target earning corridors, we expect to trend in the lower half of the ranges, and I will provide more details on our assumptions later in the presentation.  Turning to Slide #6 for an overview of our performance by business sectors, you can see that Healthcare contributed strongly to the organic development of sales in Q3, and Healthcare was able to partially offset the decline that we have seen in Life Sciences and Electronics.  Our key growth engines in the quarter were our Oncology franchise, including both Bavencio and Erbitux, and the Fertility franchise within our Healthcare business sectors, but also Display Solutions within Electronics, which benefited from a volume recovery in liquid crystal materials.  Taking a closer look at the business sectors, Healthcare showed strong organic growth of 7%, mainly driven by 13% growth from Wave 1 launches, in particular, Bavencio, which was up by 22%. From a franchise perspective, Oncology was the highlight, with organic growth of almost 18%, driven by Bavencio, paired with a strong performance of Erbitux, particularly in China. That was followed by Fertility with organic growth of 14%, 1-4 percent. Life Science was down 8% in the core business in Q3 on the pronounced destocking in Process Solutions, a softer market environment in China and the major SAP migration project, as I mentioned before, mainly affecting Science and Lab Solutions.  As expected, COVID sales continued to be highly dilutive to our growth and were significantly down both year-on-year and sequentially. This resulted in sales decreasing organically in Life Science in Q3. On China, I would like to say that our exposure is lower than that of our major Life Science peers.  In Electronics, our Semi business continues to outperform a declining market as the business environment continued to be challenging in Q3 as expected. Our Semiconductor sales declined by 9% organically in Q3. The Display Solutions performed strongly with organic growth of 12%, thanks to a recovery of volumes in liquid crystal materials, partially compensating for the performance of Semiconductor Solutions in Q3. Overall, sales in Electronics declined by 4% organically in Q3.  FX served as a headwind across the board on sales, with the strongest effect on Healthcare and on Electronics. Regarding earnings, EBITDA pre came in at EUR 1.45 billion, down organically by 13%. And this was mainly due to Life Science, where the organic EBITDA pre was down by 32% in Q3 on underutilization and associated idle costs resulting from lower volumes in Process Solutions.  EBITDA pre in Healthcare was up strongly again at 17% organically versus last year in Q3, mainly driven by a very good cost consciousness, so lower SG&A, which also reflects the new deal structured with Pfizer as well as lower R&D costs due to our focused leadership approach.  EBITDA pre in Electronics was down 18% organically in Q3, mainly reflecting lower volumes in Semiconductor Materials during the downturn in the semiconductors industry, having resulted as well in underutilization and associated idle costs, as we mentioned, for Life Science.  The currency was a slightly lower headwind on EBITDA pre than on sales for the group. Looking at the business sectors, FX was more of a headwind on EBITDA pre for and Electronics, with less impact on Life Science. And this was balanced by hedging gains in our Corporate and Other segment.  Moving to the regional view on Slide #7. In Q2 -- in Q3, I'm sorry, our 3 larger regions were down organically. North America declined by 8.7%, while Europe was down 6.8% organically, both mainly in relation to the drop in Life Science sales. APAC was down by 2.6% organically in Q3, mainly due to Electronics but also Life Science.  Overall, Q3 once again demonstrated the benefits of our globally diversified business setup with the geographical diversification, adding to our resilience of our 2 smallest regions. LatAm grew strongly at 21% organically, mainly thanks to Healthcare, with Middle East and Africa declining slightly by minus 1%, mainly due to Life Science.  And with this, I'm going to hand it over to Helene for additional details on our Q3 financial results.
Helene von Roeder: So thank you very much, Belen, and also a warm welcome from my side. I am now on Slide 9 for an overview of our key figures for the third quarter.  Our sales declined organically in Q3 by 4.1%, thereby continuing to show resilience in a challenging business environment, thanks to our multi-industry business model. Taking into account currency headwinds of minus 6.8% as well as a minor portfolio effect, net sales declined by 10.9% to EUR 5.173 billion in Q3.  EBITDA pre was down by 20.2% to EUR 1.446 billion, with the FX headwind of minus 6.6% slightly less pronounced than for sales. EPS pre declined by 22.8% to EUR 2.07. Operating cash flow came in at EUR 1.255 billion, which represents a decrease of 19.1% over Q3 '22, mainly driven by the decline in EBITDA pre.  Net financial debt increased slightly by 1.2% to EUR 8.426 billion at the end of Q3. However, keep in mind that this compares with a net debt of increase of about EUR 1 billion at the end of Q2 '23. This improvement in net debt during Q3 was driven by operating cash flow generation and lower investing cash flow.  We, as management, are monitoring very closely the quarter-on-quarter performance of the group, and you will find more details in the appendix of this presentation. So let me also briefly comment on our reported results. So I'm now on Slide 10.  EBIT was down by 20.3% in Q3. In absolute terms, the decrease was , hence, lower than the decline of in EBITDA pre. This was mainly due to lower D&A and higher adjustments on EBIT in Q3 '22. The decline in EBITDA and therefore also EBIT was mainly driven by the EBITDA pre decline in Life Science. And this in turn was driven, in particular, by the impact of destocking in Process Solutions.  The financial result was minus EUR 46 million in Q3 versus minus EUR 47 million in Q3 of last year. You may recall from Q3 '22, that we had an improved financial results driven primarily by the buyback of our hybrid bonds. The effective tax rate came in at 21% at the lower end of our guidance range and below the 22% in Q3 last year. In fact, the effective tax rate has been at 21% year-to-date, pointing to the low end of our guidance range.  Now allow me to say a few words on the global minimum taxation initiative aligning to the OECD model rules, which is the so-called Pillar Two.  It will be applicable , and we've already started comprehensive actions in this regard to fulfill the necessary reporting obligations. If we assume that the draft legislation will be adopted until year-end, we currently estimate an additional Pillar Two tax expense for 2024, which would increase our effective tax rate by roughly 1 percentage point. As Merck Group currently meets bottom end of our tax rate guidance of 21% to 23%, we do not expect an adjustment of the tax rate guidance for '24 from today's perspective. Due to the improved effective tax rate, net income was only down 20% and EPS was down 19.8%, slightly less than the decline in EBIT.  So that said, let's move on to the review by business sector, starting with Life Science on Page 11. Sales in the Life Science core business were down 8% organically in Q3, while COVID-related sales continued to decline and had a dampening effect of minus 5%. Accordingly, the sales in Life Science declined organically by 13.2% in Q3. From a portfolio perspective, all 3 businesses in Life Science, which are Process Solutions, Life Science Services and Science and Lab Solutions, were down organically.  So let's look at Process Solutions first. The core business decreased by 15% organically in Q3 from a 7% decline in Q2. This is further amplified by the COVID-related decline of 8%. From our perspective today, we see this as a trough quarter for Process Solutions, as we already shared with you in early August. The pronounced decline in the core business was mainly driven by destocking.  Order intake continued to decline year-on-year in Q3, but on a meaningfully reduced scale compared with Q2. Book-to-bill improved slightly. We reiterate our view of an observed inflection point for order intake in mid-Q4 '23 to Q1 '24 and an inflection point for sales, hence, in H1 '24.  So with that, let's turn to Life Science Services. Sales in the core were up 12% organically, in line with our midterm growth ambitions amid a significant dropoff in COVID-related sales, as expected, sales were down minus 10% organically.  Now with that, let's take a closer look at Science and Lab Solutions. Sales were down 4% organically in the core, declining from the flat performance observed in Q2. This was mainly driven by softer demand from pharma companies in North America as well as softness in China in Q3.  In addition, a major SAP migration project temporarily affected our production and distribution capabilities, in particularly, in North America. The SAP migration impacted our Science and Lab Solutions business by a mid-double-digit euro million amount in Q3. Excluding this effect, the performance of Science and Lab Solutions in the core would have been similar to Q2.  Overall, Science and Lab Solutions declined by 5% organically, including a small COVID headwind. EBITDA pre was down 31.5% organically in Q3, and the margin decreased from a still-high level of 36.4% in Q3 last year to now 28.1% in Q3 this year.  The margin decline reflects lower volumes, mainly due to lower COVID sales and destocking in Process Solutions as well as negative mix effects.  So if we now take a look at the remainder of '23, I would like to make two comments: First, you heard us mentioning the trough in Process Solutions in Q3 due to the pronounced destocking and our previously communicated expected timelines for an inflection point in order intake in Process Solutions, both of which we confirm.  Secondly, we expect our sales in Science and Lab Solutions to be impacted by a residual low- to mid-double-digit euro million amount from the SAP migration in Q4.  And with that, let's now move to Healthcare on Slide 12. Healthcare delivered organic sales growth of 7.4% in Q3, in line with the guidance range from early August. Wave 1 launches grew 13% organically, the established portfolio was up 6.1% organically.  Now let's look at this by franchise. Oncology was the star performer at 18% plus organically, which was mainly driven by Bavencio, up 22%, and supported by Erbitux, which grew 13% organically on strong performance in China, driven by a post-COVID catch-up effect and the National Reimbursement Drug List expansion. At the end of March, we announced that we would regain exclusive worldwide rights for Bavencio and have now taken full control of global commercialization effective June 30.  The Fertility performed strongly again plus -- at plus 14% organic sales growth. Competitors stock-outs continued in Q3, driving stronger performance in various regions. This was paired with a strong underlying performance. Our N&I franchise was down 12% organically in Q3. mAb and clad was up 3% organically. The continued uptake in the U.S. was partially offset by pricing pressures and increasing competitive intensity in Europe.  Rebuilds declined by 25% against high comps of last year, which benefited from positive one-off channel dynamics. So regarding our pipeline, for enpatoran, we have reached an important milestone by completing a futility analysis in WILLOW, our Phase II program in systemic and cutaneous lupus. The study will continue without modification, and the final results shall be available in late '24, early '25.  So evobrutinib, we have shown at ACTRIMS very compelling Phase II open-label extension data, with 9 out of 10 patients on evobrutinib treatment having no evidence of clinical worsening in year 5. Our Phase III RMS program will read out in Q4 as planned. For , the next step is the interim analysis and trialing, likely to take place in the first few months of '24.  And then finally, last week, we announced a strategic collaboration with Hengrui to develop, manufacture and commercialize a next-gen selective PARP1 inhibitor, which bolsters our DNA damage response portfolio via external innovation.  So regarding earnings, EBITDA pre amounted to EUR 685 million, resulting in a strong margin of . Organic EBITDA pre was up 17.2%, driven by operating leverage and in general, good cost control of operating expenses.  However, FX was a significant headwind of minus 20.8% on EBITDA in Q3, significantly higher than the 8.5% on sales. This was mainly due to the decline in value of the U.S. dollar and Asian currencies, which had a pronounced effect on our EBITDA pre. On top of this, emerging market currencies added to the headwinds.  So looking to 2023, we generally expect the sales momentum to prevail for our Wave 1 launches. Q3 was again helped by continued competitor stock-outs, which started emerging in Q4 last year. From our current perspective, we do not expect a meaningful change in the situation for the remainder of '23.  Regarding the EBITDA pre margin, bear in mind that launch preparation cost for evobrutinib will start to kick in Q4. And on income from active portfolio management, we expect no significant contribution as well.  So I will continue with Electronics on Slide 13. Sales were down organically by 4% in Q3, with FX having becoming a significant headwind in Q3 at minus 7.9%. We had a small positive portfolio effect of 0.3% from the acquisition of Korea-based Mecaro. The Semiconductor Solutions was down 9% organically in a difficult environment, but performed slightly better than the market.  Display Solutions was up 12% organically, with a partial recovery in liquid crystals driven by volume against low comps. Surface Solutions was up 3% organically, mainly due to strong growth in cosmetics and met weak demand for automotive coatings. EBITDA pre amounted to EUR 208 million, implying a margin of 22.7%, down from the 29.1% in Q3 of last year. Organically, EBITDA pre declined by 17.8%, and FX was a stronger headwind on EBITDA than on sales with a negative effect of 12.6% in Q3.  The EBITDA pre margin reflects idle costs caused by lower volumes, negative mix effect and inflationary pressures, mirroring in particular down cycle in Semiconductors. Ramp-up costs for new sites and FX movements also affected the EBITDA pre margin.  As a reminder, the EBITDA pre margin in Q2 '23 included a mid-double-digit euro million amount from the patent agreement with UDC. Excluding this effect, the EBITDA pre margin in Q3 was actually comparable to Q2.  So that said, let me also briefly comment on Q4. Looking at Semiconductor Solutions, we continue to expect an equally difficult market in Q4 compared to Q3. MSI expectations for '23 now stand down by a mid-teens amount, and we continue to see the market downturn in Semiconductors extending into '24.  On Display Solutions, please note, panel makers have been adjusting down utilization at the first weeks of Q4. And seasonally, Q4 tends to be a lower, following Q3 Christmas demand. The recovery in liquid crystal volumes will be pushed into '24, and price pressure does continue.  This brings me to EBITDA pre. In order to be ready for the end of the down cycle, we have ramped up new sites, which started to impact the EBITDA pre margin in Q3. This also creates idle costs in Q4. All other factors having an impact on our EBITDA pre margin in Q3 will, hence, also remain in .  So before handing back to Belen, let me also comment on our balance sheet and cash flow statement. As you can see on Slide 14, our balance sheet total is above the level at the end of December '22. The main driver behind this development was actually business growth.  On the asset side, inventories increased in all 3 business sectors, driven by lower sales volumes in Life Science and Electronics and by increased safety stocks in Healthcare. Receivables were slightly up, and intangible assets decreased due to FX and amortization effect. Other assets increased due to short-term investments, with cash and cash equivalents having gone up proportionally to the increase in financial debt.  Let's look at the liability side. Provisions for employee benefits are lower, driven by actual gains due to higher interest rates. Financial debt increased, however, more than offset by a decline in other liabilities, which was affected by the dividend payment in Q2. And net equity increased, thanks to higher earnings. The equity ratio improved to 57% from 54% compared to December '22.  So with that, turning to cash flow on Slide 15. Operating cash flow came in at EUR 1.255 billion and was down 19% with Q3 of [indiscernible]. This was mainly due to the decline in profit after tax, changes in provisions and changes in other assets and liabilities, in turn, mainly due to lower provisions for personnel expenses. Working capital outflow in Q3 was reduced compared with Q3 of last year.  While CapEx increased in line with our midterm growth ambitions, investing cash flow was lower compared to Q3 of the year-earlier period. This was mainly due to increased proceeds from the disposals of other financial assets, while at the same time, purchases of financial assets decreased.  And last, but not least, the difference in financing cash flow can be explained mainly by the repayment of bank liabilities in Q3 of last year. And with that, let me hand back to Belen for an update on ESG as well as the guidance.
Belen Garijo: Thank you, Helene. So let me give you a snapshot on the progress we continue to make in sustainability, this time focused on our energy management. I am on Slide #17.  So as discussed with many of you in prior occasions, we continuously stepped up our sustainability efforts. And I'm pleased to report that we continue to make good progress.  Here, you have some of the achievements in increasing the sourcing of electricity from renewable sources in order to further improve our share of renewable energy consumption. Just to remind you once again, we are aiming to gain 80% of our electricity from renewable sources by 2030, on our way to climate neutrality in 2040. This year, we have taken important steps towards this ambition. We signed a 16-year virtual power purchase agreement for a solar park in Texas and as announced just last week, a 10-year virtual power purchase agreement for a wind and solar park in Spain. These agreements add to the VPPA from 2021 for a wind park in Texas.  In order to give you some additional color on what this means for Merck, once these virtual power price agreements are up and running by '25, we will be able to increase our consumption of purchased electricity from renewable sources to 100% in the European Union and Switzerland, 90% in the U.S. and 70% globally, based on our current energy consumption.  With this, let's move now into our guidance on Page #19. We leave our full year 2023 guidance corridor for the group unchanged, as I already anticipated during the introduction and continue to expect group net sales in a range of EUR 20.5 billion to EUR 21.9 billion. EBITDA pre in a range of EUR 5.8 billion to EUR 6.4 billion and EPS in a range of EUR 8.25 to EUR 9.35.  As we mentioned at our Capital Markets Day, this guidance ranges from early August, included opportunities and challenges. In early August, the balance was very much in the middle. Now the scale is tilting more towards the challenges.  In Process Solutions amid continued cautious spending behavior by pharma companies in combination with the disruption cost -- with the temporary disruption cost by our SAP migration tilts the scale more towards challenges in Life Science. Specifically, this cautious spending behavior is now also more visible in China and is impacting our Science and Lab Solutions business in particular because the percentage of our business in China in -- within Life Science is higher for SLS.  The same holds true for Electronics, where mainly the extent of the down cycle in the semiconductor market is tilting in the scale also towards the challenges side. Accordingly, we have become more precise and see the group net sales trending slightly below the midpoint.  We expect organic net sales growth for the group to trend towards the lower end of the range, both for group sales overall and also ex-COVID. FX is -- during Q3 versus the guidance we gave with Q2 in early August, and we expect currencies trending in the upper half of the corridors for net sales and EBITDA pre from today's perspective.  We see EBITDA pre trending towards the lower half of the EUR 5.8 billion to EUR 6.4 billion range, with the organic EBITDA predevelopment at around the bottom end of the range. EPS pre, we see trending towards the lower half of the range.  In summary, I'm happy to say that we confirm our guidance ranges in net sales, EBITDA and EPS pre, supported by our multi-industry business model.  For some additional color by business sector that I'm sure we will further discuss during the Q&A., please move to Page #20.  We confirm our guidance ranges for Life Science and expect net sales between EUR 9.1 billion and EUR 9.95 billion. Due to the challenges I already mentioned to you on the slide before, we are trending to the lower half of the absolute corridor, with the organic development trending towards the low end.  On FX, we saw a slight easing during Q3 versus our guidance assumptions, with currency pointing towards the top end of the respective guidance range for Life Science, which is, by the way, also the case for Electronics.  We reiterate our expectation for COVID-related sales of around EUR 250 million in 2023-EUR 600 million less than in 2024, therefore, expecting this to be dilutive to growth in 2023, obviously. On EBITDA pre for Life Science, we also anticipate being in the lower half of the absolute guidance corridor, with the organic development trending around the lower end of the range.  For Healthcare, we leave our guidance ranges unchanged on both sales and EBITDA pre, guiding for sales of between EUR 7.75 billion and EUR 8.30 billion and EBITDA of between EUR 2.45 billion and EUR 2.6 billion.  For Healthcare, the scale tilts towards the opportunity side, with a number of drivers continuing to play in our favor. These include the strong performance of our Wave 1 launches, also complemented by an upside from these competitor shortages in our Fertility and Endocrinology portfolio.  In addition, our EBITDA pre now benefits from regaining the exclusive worldwide rights to Bavencio, which became effective in June 30 of this year. By contrast, cost for the launch preparation for evobrutinib will start kicking in, in Q4, with the sales in Healthcare trending slightly above the midpoint of the absolute corridor and towards the upper end of the range in organic terms.  EBITDA pre is trending towards the top end of the absolute corridor and is trending towards the upper end of the range, organically.  For Electronics, we continue to guide for net sales of between EUR 3.5 billion and EUR 3.8 billion and for an EBITDA pre of between EUR 870 million and EUR 980 million. We are trending around the midpoint of the absolute range for net sales and towards the low end on an organic basis, reflecting support from projects and equipment in the DS&S business as well as a pronounced downturn in the Semiconductor Materials market, which is very well known to you.  On EBITDA pre for Electronics, we have also become more precise and see the EBITDA pre trending in the lower half of the absolute range, slightly below the lower end of the guidance on an organic basis and meet negative mix effects due to the semiconductor market challenges.  For the group as a whole, let me summarize it again. I'm very pleased to confirm our guidance band for net sales, EBITDA pre and EPS pre, once again illustrating the resilience of our multi-industry business model. And with this, I'm going to stop it here and open for your questions. Thank you very much.
Constantin Fest: Thank you, Belen. Sharon first question, please.
Operator: [Operator Instructions]. And your first question today comes from the line of from JPMorgan.
Unidentified Analyst: Firstly, on Process Solutions. You highlighted that you're expecting to see an incremental recovery in orders in Q4. What have you seen so far here? And how orders developed in October? How are you thinking about the timelines that to be largely complete? And based on that, how are you thinking about 2024 for ?  And then just secondly on Healthcare. What are the pressures and pulls around the development of as we look forward into the coming years? How should we think about top line growth, given the potential return of competitors to your franchises, and development in R&D, given the need to invest in pipeline?
Constantin Fest: Thank you very much for the question. Would you be kind to get a little bit closer to your microphone? It was hard to understand your question. Just ask again, and then we'll get you. The first one was understood, Matthias got you. But the second one on Healthcare, I think -- that would be kind.
Unidentified Analyst: So in Healthcare, I was asking about the pressures and pulls on the development of EBITDA and how we should think about that in the coming years. Also in terms of the development of the top line with the return of 2 competitors in the franchises and the need to invest in R&D.
Matthias Heinzel: It's Matthias, Life Science. So let me address your questions. So first of all, we're exactly in the corridor, when it comes to order intake, book-to-bill, which we explained before at our CMD and actually also in the prior call -- earnings call. So we are seeing an improvement quarter-over-quarter for order intake and book-to-bill ratios in Process Solutions. We're also seeing that the decline versus prior year is declining. So with that, we're really making progress towards kind of our goal.  And we are confirming also -- because you asked about inflection point, we're expecting the inflection point will be more than just one day, obviously, during Q4 to Q1 in terms of orders and then getting those orders translated into sales. We're expecting that to happen between Q1 and Q2.  But again, the key message is all trend lines, what we are seeing is exactly confirming what we have outlined before. And that, of course, then translates into the '24 year, which also kind of , expect like in H1, H2 dynamic for PS kind of the H1, kind of impacted by this Q1 carryover from the destocking and then gradually ramping up, certainly H2 being stronger than H1.
Peter Guenter: Yes. , on your question around how to think, looking forward to development in Healthcare, whether it is top line or EBITDA, of course, we are not here to give you long-term guidance on this call. But obviously, we're very happy with the performance so far during this year.  You have heard Belen that we are looking at the upper end of the guidance, both in top line and bottom line for Healthcare. But obviously, it's also fair to say that there are some elements that will change, moving forward. Obviously, the other stock situation of some competitors will ease. And we will have to spend in the prelaunch investments, especially for evobrutinib.  The R&D that is a little bit on the low side this quarter, will normalize to what we guided to mid- to long term, which is low 20s. So I think the way you should think about Healthcare, moving forward, is that we will see, I would call it, the normalization of the situation probably both in top line and bottom line, if you think about all these different elements in the mix.
Operator: And the next question comes from the line of Sachin Jain from Bank of America.
Sachin Jain: If I may, firstly, for Matthias on the same topic, just trying to push you a little bit further. You've reconfirmed order inflection from mid 4Q into 1Q or in the middle of the fourth quarter. So just wondering, what you're seeing now? And you've tantalizingly said Process book-to-bill is improving. Is it greater than at this stage? So just any color on those two points.  And then one for Peter on evobrutinib. And as we approach headline efficacy data, I wonder if you could remind us of the benchmarks that you're hoping for to define the benefit-risk debate you've had with regulators on relapse rate and progression.
Matthias Heinzel: Yes. Sachin. Matthias, here. Yes, look, indeed, we are confirming what we discussed at the CMD, right? We're exactly on that trend line. So quarter-over-quarter, good progression in the book-to-bill, good progression in the order intake, certainly moving in the right direction.  And again, we are expecting mid of Q4 to Q1 kind of starting the infection point. And we are moving towards that direction. I think I said it before, we need to see a trend line to call it true inflection. And I think we're exactly in that phase, but overall, exactly trending in the right direction.
Peter Guenter: Yes, Sachin, thanks for your question on evobrutinib. I won't give you any concrete quantitative data. We've always said that on the uniqueness of evobrutinib is that it tackles really the relapses due to the peripheric inflammation as well the smoldering disease.  So we are looking obviously at many endpoints in the study, ARR, obviously, also CDP. And what we would expect to see is ballpark anti-CD20-like efficacy. You may have seen at ACTRIMS in Milano that we delivered again very strong ARR in the open-label extension of the Phase II. So we remained at on ARR, which is very reassuring to see.  And obviously, in the press release, we are inclined towards sharing those data, those key efficacy data in the press release. Obviously, we have to balance that with protecting the full presentation at the key congress and also the publication.
Operator: And your next question comes from the line of Peter Verdult from Citi.
Peter Verdult: Two sets of questions, please. First, Peter, stay on MS. Just as it relates to the press release we see on in December, over and above the primary endpoint, should we expect you to attempt to address the FDA concerns on the signal that led to a clinical hold when you release that top line data?  And then staying on MS, just latest thinking on the outlook for Mavenclad in Europe in light of the pricing and competitive pressures that you called out in today's release.  And then separately for Belen or Peter or Danny. I'm not sure who -- with all 3 of you on. Just a little bit more interested to hear a little bit more about the assets you in-licensed. I mean we know are interesting targets, but the competitive is intense. So just latest thoughts on areas of differentiation.  And then more broadly, Belen, just thoughts on getting further deals of size done across the group in the current macro backdrop.
Peter Guenter: Yes. Let me start, Peter. Look, on MS partial clinical hold, it comes as no surprise that the FDA will look holistically at the data, right? So at the end of the day, it's all about benefit, risk of any product. And we have now to wait a couple of more weeks to see the final numbers on that.  On Mavenclad in Europe, actually, there are probably two elements at work here. First, of course, and that comes as no surprise to you, like all pharmaceutical companies, we have been hit by a couple of price cuts in Europe or, I should say, tax increases in Europe. So talking about the increase of the in the U.K., the increase of the mandatory rebate in Germany and some additional reference pricings that hit Mavenclad. So that's on the pricing part of the equation.  On the volume part of the equation. There is indeed, as you know, increased competitive pressure from the anti-CD20s, essentially. [indiscernible] has now full reimbursement also in the late pricing in reimbursement countries like France, like Italy, like Spain. And that, of course, decreases somewhat the year 1 opportunity for Mavenclad.  Now the good news is if you look at the overall performance of Mavenclad year-to-date, it's up 17%, and this is 6 years after the launch. And I think that's also a testimony to the commercial capabilities of our teams in MS, which, of course, bodes well for the evobrutinib launch.  We're very happy with the performance in the U.S. And we think if we take all elements into account, we are confident that we will continue to see growth for Mavenclad also in 2024.  On , so -- you know that the promise, of course, of the selective PARP inhibitors is to be able to combine it with more products than the nonselective PARP inhibitors, so basically, based on the lesser hematological side effects. You know that we have a quite impressive DDR portfolio in-house, and we are looking, of course, at plenty of such combinations, number one, and of course, also combining with other drugs.  And this is a little bit the same principle for the in ADC, which indeed will also play a lot in combination therapy. So I think it's more a question on how to stratify, how to play strategically, in which indication you pick, which combination you pick and to find your place in that market.
Belen Garijo: Peter, it's Belen. I think Peter gave you some details on the deal. I think in my view, this is a great illustration of the focused leadership approach that -- I mean, it's now being operationalized by the Healthcare team. In-licensing actively molecules that fit very well the tumors in which we believe we have extensive presence.  I mean this is an in-licensing agreement that is going to give us rights to commercialize outside of China and potentially co-promotion in the Chinese market and, as Peter mentioned, an option on an antibody drug conjugate, which is very complementary to our DDR portfolio.  More broadly on M&A., since I saw you at the Capital Markets Day, I have no news to disclose. So we continue to be very much on track with what we have mentioned before. And once again, I want to take this opportunity to reassure you that it can be done in any form. We will stay very disciplined to our financial framework. And basically, we will provide more information to you as soon as we have something relevant to tell you. And once again, we are not in a hurry.
Operator: The next question comes from the line of James Quigley from Morgan Stanley.
James Quigley: I've got one follow-up on Sachin's question on the book-to-bill. Maybe I missed it. Did you confirm that the book-to-bill is now at 1? Or are you still sort of hovering slightly below 1? Then again, in Process Solutions, how are you thinking about capacity in the key parts of the bioprocessing supply chain?  So Belen highlighted lower utilization and idle costs. And many of your peers have stepped up CapEx and continue to invest. So what are your views on industry capacity across single-use media filtration, purification, et cetera? And how could this impact the trajectory of your margin recovery in Life Sciences?  And maybe one more on Bavencio for Peter. Now that you've seen the updated data for plus KEYTRUDA and the reaction to the data at the ESMO conference, has this changed your perception of the competitive risks to the Bavencio franchise in maintenance ?
Matthias Heinzel: James, let me take your question, obviously, on the book-to-bill. Without repeating myself, right, we made good progress. Obviously, we are coming from below, one, right? We're coming from that side of the field. And we're making good progress, as I mentioned before, quarter-over-quarter. And we're really in our corridor towards our goals. So I think from that standpoint, take as a reconfirming message to what we explained to you before around in prior calls. . Then on your bigger strategic question, look, our capacity rollout plans were really based and built on our long-term perspective on the growth drivers of the market. right? The underlying growth in mAbs, in novel modalities and the regional growth that really triggered and is the basis for our expansion plans. And nothing has changed in our fundamental belief in the long-term trends.  And of course, as we go live with those new facilities, it's impossible and not intended to really fill them up right away with 80%, right? So there is a ramp-up, and we also explained before that part of our margin progression, right, is based on those kind of costs to really those plans and to really get them up and running.  If there are some small adjustments to be made, of course, we are doing that. We are monitoring, obviously, the underlying trends. But by and large and for the midterm, we clearly see no indication of a concern.
Peter Guenter: James, on your question on Bavencio. So well, first of all, I think having additional therapeutic options for patients with metastatic cancers, of course, by definition, is a good thing for patients.  Nevertheless, there's a couple of considerations I would like to put forward here. So first of all, in the comparator arm of the EV-302 study, there were very few patients in the comparator arm that got chemotherapy followed by avelumab and actually, relatively close to the end of the study. So basically, the efficacy of avelumab in that comparator arm will not have meant a lot in that study.  Second, if you think about the "exposure" to cytotoxicity, don't forget that in the maintenance treatment with Bavencio, you basically have the upfront exposure to the chemotherapy, and then you're done with chemotherapy. Whereas in the EV-302 treatment scheme, you are exposed -- I would say, as long as you have the treatment, you are exposed to the side effects of the cytotoxicity.  And that leads me to a very important element about sequencing. You all know how important it is in the treatment of oncology in general, and metastatic UC is no exception to that, is to get the sequence of treatment right and to give all possibilities to your patients, they have a first-line, second-line and eventually a third- or a fourth-line treatment.  And it's clear that given the data of EV-302, where 2/3 of the patients were affected by neuropathy -- and by the way, also 2/3 of the patients were experiencing skin toxicity.  But to come back on the neuropathy, once you have had that neuropathy, especially if it's irreversible, it's very difficult to be exposed in second line, if not impossible, to second-line chemotherapy. Whereas if you do it the other way around, you can have the full benefit of chemotherapy plus avelumab and. Then patients that progress, you can still treat them with the second-line therapy, for example, with .  So please, when you think about overall survival, efficacy, think also about the totality of overall survival you can add or you can offer to your patient if you have the sequencing right.  Safety, you know that have -- comes with a box warning, so it can cause severe and fatal adverse events, including Stevens-Johnson syndrome and toxic epidermal necrolysis, so that is definitely something from a quality-of-life perspective that has to be taken into account.  Next element, it has caused the budget impact, right? I mean we don't really think that will be an issue in the U.S. We do think it's going to be a bit of an uphill battle, especially in Europe, for -- to get to pricing and reimbursement, given the fact that, that combination will cost at least twice as much as avelumab. So think about countries where, for example, cost effectiveness is an important consideration to reimburse or not to reimburse a drug.  Last, you know that Japan is an important market to us. Japan is a market where 90% of patients get chemotherapy follow them in the large number of cases by avelumab, obviously. And you know that Japanese physicians, and in this case, urologists, are very risk averse and very sensitive to safety. So we do think that we will have a strong position to start off in Japan.  So in summary, and that's perhaps also an element that is important to mention and we kind of framed that also in the CMD, in terms of numbers, the Merkel cell carcinoma and renal cell carcinoma make up round about 15% to 20% of our sales. And of course, these two will be unaffected by recent news. And then when I look at the share of the U.S. in our total Bavencio sales, it is below.  So I think if you take all these elements into account, it gives some food for thought to then try to imagine what could be the impact and what could not be the impact.
Operator: And our next question comes from the line of Falko Friedrichs from Deutsche Bank.
Falko Friedrichs: My first one is on Semis. Can you just share your latest thoughts on where we should see that potential inflection point there? . Then secondly, on -- I noticed that both your and SLS businesses delivered much better in Europe versus the U.S. Can you share a bit of color on the reasons there?  And then thirdly, Matthias, based on your comments so far, is it fair to say that we should see continued sequential positive step-changes in '24 than from quarter-to-quarter when it comes to orders and revenues? Thank you -- in Life Science?
Kai Beckmann: Thank you, Falko, for the question. I'd take the Semis question. Kai speaking. Semis, it's very good news that our messaging since the Capital Market Day hasn't changed at all. So the inflection point is projected by the industry analysts being in the second half of next year. That's -- it's good news. It's stable. It's very stable information on this one.  We see the first indicators such as gradual reduction of inventories in the memories and in the logic segment. The first reduction of inventory is happening. We are not yet at healthy levels, but gradually, we are kind of approaching healthy levels. It's a good signal that -- of a stable outlook on the inflection point in H2.
Matthias Heinzel: Matthias. So address two of your questions, in terms of the regional performance, SLS, it ties back to what Belen said in the beginning, and I think we also indicated at CMD, we had this SAP migration essentially in our U.S. hub in St. Louis supporting the SLS business. Hence, we had supply issues, given the complexity of that rollout. So that, if you will, hampered our ability to ship and basically create the sales, and that was kind of limiting our SLS business in North America versus Europe.  At I would say, it depends more on the batch phasing. So I would not over-interpret regional differences too much. Overall, we had a very strong testing business. But certainly on the CDMO side, there's more batch phasing, which creates a more fluctuation quarter-by-quarter.  Then of course, regarding your question, the way I would frame the answer is certainly, look at H1 to H2. I think it's too early to look in the individual quarters. And what I said before, obviously, still holds in terms of inflection point for orders and the sales. But I rather would take the view on H1, H2, we have a strong dynamic towards H2 getting us more than overall for Life Science towards a path towards our midterm ambition. That's the way I would look at it.
Falko Friedrichs: Okay. And Matthias a quick follow-up, just making sure I understood it properly. Process Solutions orders in Q3 were still sequentially down, right? Or were they up sequentially?
Matthias Heinzel: What I said before, the order intake for Process Solutions in Q3 was positive from a momentum standpoint. So sequentially up. So the answer is yes to your question. And in addition, which I think is also an important reference point, if you look at the year-over-year rates, although they were still negative, the reduction rate was less in Q3 versus Q2. So take both of those factors as a trend line in the right direction.
Operator: And your next question comes from the line of Dylan van Haaften from Stifel.
Dylan van Haaften: Just two questions for me, one for Matthias, one for Peter. So just if we look at Life Sciences this quarter, clearly, the mix is negative. But could you flesh out this mix? Is this business lines? Is this products in Process Solutions? Is there, perhaps, also a more competitive process in the market right now?  And the other question is maybe talking about CDP. I didn't actually catch up from your earlier question, Peter. So what is the benchmark there? Should we be thinking about CD20s versus teriflunomide or CD20 versus interferon or perhaps beyond? So is it sort of within that 25% to 35% sort of relative quarter?
Matthias Heinzel: Matthias. So on your mix question, and I think the mix effect on EBITDA, indeed, it has a portfolio effect in terms of thinking about coming -- or looking at PS as a higher-margin business. So the decline -- the ongoing decline, obviously, from COVID.  And then, of course, in addition to destocking, right, that has an impact in terms of mix effect on the EBITDA margin. I would say that's the main driver and answer to your question.
Peter Guenter: Yes, Dylan. So for your question on what are we expecting, so basically, of course, our trial is against teriflunomide. So -- but we could expect and we would be happy, of course, if indeed, the differentiation versus teriflunomide on CDP would be in the ballpark or similar to the ones that anti-CD20 provided. ARR, you have seen data from the Phase II. If we would be in the same ballpark as these data, this would be very satisfactory.
Operator: And your next question comes from the line of Gary Steventon from BNP Paribas.
Gary Steventon: First one just on SLS and the SAP operational impact. I think given this impacting order processing, presumably, you've got customers who are going elsewhere to order what they needed over Q3, so the question really is, how much of a risk is there that customers who purchase from some of your competitors over Q3 in order to get what they want and customers who you expect to purchase from competitors over Q4 don't come back? And kind of what gives you confidence from here that that's not the case?  And then a follow-up on evo as well, please. You mentioned launch costs are expected to begin to ramp from Q4 of this year. So could you outline what kind of launch timeline is supported by that comment on whether there's been any incremental change to your level of confidence in the asset? And then also, whether that timeline includes the use of the priority you actually picked up a little while back?
Matthias Heinzel: Gary, Matthias, obviously, you are spot on with your question. And just again to frame it, right, we mentioned a double-digit impact in Q3 and low to mid-double digit in Q4. There's obviously all hands on deck, and we try to minimize and ship whatever we can to our customers.  And you're right, of course, the intent is to minimize any longer-term impact from that. And obviously, we need to regain and take efforts to regain. At the same time, there are, like you said, customers, it's a quick-turn business, right. If you can't ship it within 3, 4 days, you have the risk that you'll miss it. And with that, also, you may lose the customer for a while.  I can reassure you, the teams are working hard to regain it, but it's an effort. And you're right, there might be a residual impact as we go into next year.
Peter Guenter: Yes, Gary, on the ramp-up of the launch costs. So we have had actually a very successful ECTRIMS, which, of course, will took place in Q4. We will have ACTRIMS, which will be a very important congress for us early next year. We have the American Academy of Neurology. And then, of course, we have the increased activity in our customer-facing teams, which will all contribute to an increase of the cost.  On the timeline, so I think you can do the math, right. If we have the readout now in a couple of weeks, obviously, we will go as fast as possible, thereafter, to the FDA. And then depending if we use or not, I think you can do the math on the timelines. On the use of the PRV , obviously, we have to look first at the data, and then we will decide whether we file with the PRV or not.
Operator: And the next question comes from the line of Florent Cespedes from Societe Generale.
Florent Cespedes: Two quick ones, please. First for Peter on Fertility. Despite the fact that there is less shortage from competitors, we still see a quite nice double-digit performance this quarter. So could you maybe elaborate a bit on how you see the trend, going forward?  And my second question for Kai on Display Solutions. Could you give us a bit on how you see the trend there because the quarter was a pretty dynamic, both from favorable comparison ? But still, any color would be great.
Peter Guenter: Yes, Florent, thanks for the question. So on Fertility, look, -- of course, we don't have a crystal ball when it comes to the future of the competition, but what we do see is that they come selectively back to a certain number of countries. So we logically expect that they would probably come back to full supply anytime soon in the future. So that's number one.  The other element, you shouldn't forget we had a bit of a depressed Q1 in China for Fertility. And of course, there is a catch-up post-COVID, so that's the second element that helps.  So I think the most pragmatic thing I can do is to guide you towards the mid-single-digit CAGR for the Fertility business that we have consistently given to you. I'm not saying that, that mid-single-digit CAGR is necessarily going to happen every single year. But over the period, I think that's a fair assumption for your modeling.
Kai Beckmann: On your Display question, so in Q3, the volume recovery was, at the end, overcompensating the negative price trend. It's kind of fair to model that a bit more cautious into the future. And Q4, Q4 is traditionally a very weak quarter in the industry. And on the long run, you will see us coming back to the midterm guidance, where, of course, the underlying price trend will kind of take over. So this is what you could carefully model into the future.
Operator: And the next question comes from the line of Oliver Metzger from ODDO BHF.
Oliver Metzger: Most have been answered, but still some on LSS. So LSS, this 12% organic growth in the core business, it's, I think, quite positive after all the weak quarters. So [indiscernible] we also had in Q3 last year, a significantly lowered comp. So can you comment about the performance, was more comp-driven or really some underlying improvement?  In this context, do you also expect as the comps in Q4 should be even lower than the positive underlying trend should continue? And also in this context, basically, you made some positive comments on your CDMO activities, which are in contrast to many other players out there. So can you highlight what were the real differences which created these outperformance versus some peers?
Matthias Heinzel: Yes. Oliver, let me address your question. So in the LSS business, we do have those 2 groups. We have our testing business, which is really a steady growth, well diversified, regionally hundreds of customers, right? And we've seen here a really good continued momentum, good growth rate and also sequentially. . Our CDMO business, with a special focus on novel modality, is coming from a really smaller base. And I think also compared to some of the larger players in the industry, we are certainly coming from a smaller base. And as such, are much more dependent on individual customers, customer orders facing "Do I get this batch in this production line this quarter, next quarter?" So I really would look at it less so on a quarter-by-quarter basis.  And I think that's really -- fluctuation could go up plus X percent this quarter, could be even maybe going slightly negative even in the next quarter and then up again. I think I've said it a few times also on this call at the CMD. If you look at it from the outside, I think you just need to look at it, I think, more in terms of over multiple quarters.  And again, our confirmation is that we see a really good long-term momentum. So I don't want to compare it now versus any of the peers who are operating on a much -- some of them at least, on a much bigger base. So this quarter was certainly influenced...
Oliver Metzger: Would you consider then Q3 more as the positive outlier in the overall trend? Or are you also much more optimistic for Q4?
Matthias Heinzel: Look, again, I don't want to call now Q3 a positive outlier, and I don't want to even on Q4. I think I explained the volatility. And with that, I think we will deal with for several quarters. But overall, we confirm our long-term growth ambition. And I think there's a strong demand in the long term for that business.
Constantin Fest: Sharon, I think we have time for one last question, please.
Operator: Thank you. We will now take your final question. And your final question for today comes from the line of Simon Baker from Redburn.
Simon Baker: Two questions, if I may, please. Firstly, on Bavencio, I wonder if you could give us an idea on any changes in marketing and promotion levels and intensity since you took full control of the product?  And secondly, on Semiconductor Solutions, you rather described it as slightly better than the decline in MSI, it looks a bit better than that. So I just wondering if you could give us a bit more color on where your -- which end markets are outperforming for you within the Semi space?
Peter Guenter: Yes, Simon, on Bavencio, so obviously, when we took back the product 100% under control, we did some increases here and there on the infrastructure and on the indirect spend, but significantly less than it used to be under -- within the context of the alliance. So obviously, that gives you a significant jump in profitability of the product.  And we did that because we really thought we had to resource the product adequately, but not over the top either, right? And we really had the feeling that the combination of Pfizer and Bavencio together was probably a little bit over the top, and we kind of rightsized the marketing and sales investment behind Bavencio.
Kai Beckmann: Yes, Simon, thanks for the Semi question. So the -- maybe the notion of slightly better than the decline of MSI was a humble way to acknowledge the hard work of the team in a tough market. So we were outperforming the MSI by quite a bit, of course, driven as well by our Delivery Systems & Services business, doing a great job and taking advantage of the investments of our customers. . And secondly, we won quite a significant number of qualification, so-called POR, in the industry that give us quite the confidence on the way forward that we have more materials per wafer kind of benefiting from the new technologies that will be introduced by our customers.  So this outperformance comes from different areas and underscores our already ninth consecutive quarter outperforming the MSI, I think, which is a pretty good signal.
Constantin Fest: I'd like to turn hand over to Belen to close this call.
Belen Garijo: Thanks for that, Constantin, and thank you so much to everyone that participated in the call and that follows us, for your continued interest in our company and for the confidence that you place on us, make sure that this Executive Board is absolutely committed to stay on track managing the business as we have shared with you, the challenging environment.  We have confirmed our guidance corridors. We have confirmed our confidence on the assumptions that we have shared with you several times this year. I mentioned during the Capital Markets Day, you have to give us some credit for the guidance that we have been putting forward in this challenging and volatile circumstances.  As I said, we remain very committed to vigorously execute our strategy, delivering on our promises for profitable and sustainable value maximization. So we look forward to meeting many of you in-person at the upcoming meetings and roadshows. And of course, we would be very pleased to update you as the year draws to a close. Thank you so much, and goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may now disconnect.